Operator: Good morning, and welcome to the Jacobs Engineering Second Quarter 2013 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Patty Bruner to review forward statement. Please go ahead.
Patricia Bruner: Thank you, Denise. The company requests that we point out that any statements that the company makes today that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations in currently available competitive financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from the forward-looking statements. For a description of some of the factors which may occur that could cause or contribute to such differences, the company requests that you read its most recent earnings release and its Annual Report on Form 10-K for the period ended September 28, 2012, including: Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition; and results of operations contained therein; and the most recent Form 10-Q for the period ended December 28, 2012, for a description of Jacobs' business, legal proceedings and other information that describes the factors that could cause actual results to differ from such forward-looking statements. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements, whether as a result of new information, future events or otherwise. And now I'll turn the call over to John Prosser, Chief Financial Officer, who will begin the discussion regarding the financial results.
John W. Prosser: Thank you, Patty, and good morning, everyone. I'll now briefly go over the financial highlights for the quarter and then I'll turn it over to Craig Martin, our CEO, to review the business strategies and the growth going forward. If you turn to Slide 4 of our package. This gives the highlight. These are also included in our earnings release that went out last night. It's a very solid quarter, in line with our expectations. Diluted EPS of $0.80 a share; net earnings of $104.4 million; backlog had a nice growth, up to $16.8 billion, nice growth both quarter-over-quarter and year-over-year and I'll get to that a little -- in a few minutes. Our book-to-bill ratio on a trailing 12 months continues to run at 1.15, but the quarter was actually higher than that. If you look at the balance sheet information and such, we continue to have a very strong balance sheet. Cash continues at about $1.2 billion, net of debt it's $715 million and we continue our fiscal year '13 guidance in the range of $3 to $3.50 per share with the midpoint about being $3.25. Looking at Slide 5, this just gives a track of our last 2 years' earnings history. You can see the nice growth since the bottom of the market in 2010. And as we see this quarter -- this year, as we look at the trailing 12, there's a nice growth over last year and we expect to see that continue. If you look at the bars underneath the graph, that just kind of gives the 10-year compounded growth rate and while we target the 15%, we're slightly below that but, certainly, we're showing a pickup from just last year as we go forward, just under the 15%. As I mentioned the backlog growth was strong. It was up 11 -- a little over 11% year-over-year with good growth in both professional services and field services both quarter-over-quarter and year-over-year. With that, I'll now turn it over to Craig Martin to review the operations for the quarter and our prospects.
Craig L. Martin: Thank you, John, and good morning, everyone. Take a minute here just to run through our growth strategy, pretty much the same slide we always show you. We've got a really solid relationship-based business model, I'll talk more about that. Our geographic and market diversity, I think, is a strength, I'll also talk more about that. I want to chat briefly about acquisitions, but with respect to this slide, I want to just take a minute to talk about keeping costs down. We continue to be in an environment where low-cost capability produces an advantage and we're certainly in a position to take advantage of that. We had excellent cost control in the second quarter and that cost advantage tends to, and continues to be a strength, frankly, especially in the public markets, where we're seeing more emphasis on cost in the selection process. So we see that as a positive going forward, as well as the other 4 key parts of our strategy. Moving on now to Slide 8, our relationship-based business model. We've shown this to you dozens of times, I suspect, by now. But the model continues to work for us. We continue to have this virtuous circle of building our relationships with our clients and their trust in us, getting high repurchase loyalty as a result, which then drives our business growth and allows us to reinvest to continue that virtuous cycle. This last quarter, we had 94% repeat business from our clients, which we think is pretty spectacular if you think about it. Moving on now briefly to Slide 9, you can kind of see how the market are performing for us in terms of the percentage of our revenues. We've broken those into 3 parts: Public & Institutional, Industrial and process and I'll talk more about each one of those independently. Let me start first with Public & Institutional and then I'll go with counterclockwise around the pie. Public & Institutional business is made up of 3 main parts for us: The work we do for national governments, the work we do in infrastructure, and the work we do in buildings. Let me talk about each one of those individually. The National Governments business is still, for us, at least, stable. We're dealing with the impacts of sequestration quite well and this whole business of multiple award task order contracts continues to be favorable to us and our cost model. So that's another positive. We've been successful in delivering these large Government Owned/Contractor Operated programs both here and in the U.K. and that continues to be an area of strength for the company, a couple of major wins in the first quarter in the U.S. or second quarter, sorry, in the U.S. both Johnson and Michoud, as well as good strength in the U.K. as we go forward. And then of course the nuclear cleanup business in the U.K. remains very strong. The clients are releasing pretty significant opportunities and we see that as a positive going forward as well. So we think, in spite of the negative view of the National Governments markets, we're going to continue to do pretty well and our business will be able to continue to grow, although perhaps, not as big a clip as we might like. On the Infrastructure side, we see that as a strong market. There's a lot of money that needs to be spent in that market. Our long-term prospects for that market are extraordinary and we see some momentum building. A lot of that is coming from user-driven projects in terms of where user fees are funding the work and from bond programs. We've seen almost $30 billion from bond programs approved just in the U.S. recently. And we're also seeing major investments in pipeline and in gas infrastructure as part of our business. That's a multibillion market, we see about $6 billion in programs and projects just in pipeline safety alone. So we think infrastructure market as we define it, is going to be a good positive market going forward. The Buildings business continues to improve. That's a technical buildings business for us. So we're not building high-rise office buildings or multi-family housing, we're doing technically complex buildings, and those markets are quite strong. I told you last quarter that I was really proud of our repositioning of our business away from the government sector. We continue to do extremely well. We're very strong in mission-critical markets, these are data centers and operation centers, strategic facilities for our customers. Our healthcare business remains quite strong and we see a lot of opportunity in healthcare and then K-12 and higher ed continues to also be an opportunity area. In the institutional marketplace, we've got 8 programs that we're managing and 9 others in assessment, all of those, I think, will contribute well to our business. And you can see, in spite of the apparent headwinds, we got really nice backlog growth both quarter-over-quarter and year-over-year in that business. On the Industrial side of our business, the PharmaBio business first, it is improving. It's continues to improve. The product pipeline has improved for a number of our customers; that's driving new capital investment. Our core clients have taken advantage of our geographic positioning and our strengths to improve their posture and ours with them and there's a lot of investment in secondary manufacturing around the world as the customers try to put their facilities where the future users of their drugs will be. So we see that as a good, solid market and continuing to improve. Mining & Minerals, we've characterized this as strong. I guess, that's probably not a fair characterization of the market overall, but it is a fair characterization of the market for us. While Australia has been weak, we continue to have a strong position in the Mining & Minerals market in the Americas and we're doing quite well. We're also repositioning a number of our capabilities around what our traditional strength is, which is that business of small cap and mid-cap investments that's where a lot of the big Mining & Minerals companies tell me they're going to put the bulk of their capital as they go forward. Our relationship model continues to be strong and resonate with the Mining & Minerals customers. And of course, we bring buildings and infrastructure capabilities to these projects that many of our competitors do not. Also as a part of the Mining & Minerals business, we have a strong position in phosphates and a growing position in potash; both of those markets are quite strong and we think they represent significant opportunities for us as we go forward. The last part of that is sort of our other categories. So it's Power, Pulp & Paper, High Tech, Food & Consumer Products. We've characterized that market as mixed because it is such a diverse group of customers. We've got a lot of alliances with our clients; those alliances are continuing to be good factor. We're getting more and more both greenfield and brownfield opportunities with those customers where we have an alliance. Capital facility spending is pretty good, actually. Some of which is being driven by environmental considerations in places like the U.S.; the EPA estimates that about $5.4 billion in upgrades to industrial facilities in the U.S. over the next few years. And of course, while we're a small player in Power, we happened to be well positioned in the U.K. and Europe and there's a significant opportunity there for us to continue to grow. You can see the backlog's down quarter-over-quarter and year-over-year but I do think there are some significant potential adds to the backlog out there in both Mining & Minerals and Pharma and so that downturn doesn't concern me at this point in time in the Industrial part of our business. Moving onto the Process part of our business, clearly the strongest part. We've characterized the 3 businesses here, Refining, Chemicals and Oil & Gas, as either strong or very strong. Refining, we've actually raised the rating from improving to strong. We're seeing a lot of activity in Refining right now. Our relationship-based model and our focus on traditional and mid-cap work, which we really think of as our sweet spot, is getting a lot of focus and energy from our customers. Their margins are good, at least in North America right now, and somewhat better in other places. And so cash flow tends to drive investments in the refining business. We're seeing some additional investments. We're also seeing an uptick in capital spending as a result of the EPA again, the Ultra-Low Sulfur gasoline, the standards are stringent and the deadline, at least at the moment, is sooner than anyone expected. As a result, we think that's going to fuel a sort of newer and shorter timeframe on releasing these projects. We're also seeing some of the advantaged crudes that are coming out, unconventional oil, as driving investments as well. So the Refining business is picking up for us and we're pleased with what we see. Oil & Gas is very strong. E&P spending continues to increase, something north of $5 billion with a 6% increase expected in '13. Of that, we think the amendable spend work that Jacobs could do is around $160 billion. So we've got a lot of opportunity for growth there. The unconventional gas market, where we think our greatest opportunity for penetration, is pretty significant. We're seeing average annual spends per client in the $2 billion plus range. We're also continuing to see good investment in the heavy oils, particularly oil sands. The majors continue to invest and most of them are telling me they've got steady programs of 45,000-barrel a day projects as expansions, just one right after the other. And then we're also seeing modular construction as an increasingly important aspect. There's clearly going to be significant shortfall of labor, craft labor, to support all of these programs and projects in the Refining, Oil & Gas and Chemicals area and modular construction is going to be a major factor in moving some of that labor off-site. We're very well-positioned to take advantage of that. And then finally, the Chemicals business, very strong as well. We have a long history of being a significant player in the secondary chemicals part of the chemicals marketplace, in dealing with very technically complex facilities with very complex engineering requirements and that low-cost feedstock is just driving unprecedented growth in North America and the Middle East. So we're seeing lots of opportunity for the business there. In fact, opportunities continue at a very robust pace. You can see that backlog's up 14% year-over-year and 24% over 2 years ago. So we see that market as one where that will sector, I guess, I'd call it, as one that's a real positive for us as we go forward. Moving to geographic diversity. I'm going to spend just a little bit more time on Slide 13, talking about how the individual geographies are doing. The North American markets are, frankly, very strong. We just talked about chemicals and natural gas, Mining & Minerals, all those things are real positives in the North American marketplace. But we're also seeing lots of activity in Infrastructure and Buildings as well and all of that combined together says North America's going to be a very, very good business for Jacobs in the next few years. South America's also strong. Mostly the focus on Mining & Minerals and us and -- our position with key customers in Chile and Peru. But we think there's lots of additional opportunities for growth in places like Brazil and in the oil and gas business as we go forward, both oil and gas in a sense of upstream but also in terms of the downstream part of the business. Europe, probably not so good. I'd characterize it as stable. There are projects and activities for us and I think we'll be able to eke out some growth, but the European market probably won't be the strongest market we're in. We do see, as I said earlier, some opportunities in power. There's some big increases in fundings for highways and local authority schemes in the U.K., we participate actively in those. Water and utility is also going to be a strong market in Europe and we think we're going to be able to take advantage of that. So it isn't going to be an awful any sense, but I don't think Europe is going to be the strongest market we face. Middle East and Africa continues to be very strong for us. We continue to get dramatic growth. We have a terrific relationship with OCP in Morocco and the tremendous backlog of projects in our joint venture. We're up something north of 600 employees just supporting that customer and those projects. Lots of prospects -- process activity as people try to monetize gas and deliver higher value products from the feedstocks that are available in the region, plus major investments in buildings and infrastructure across the Middle East that we're now being able to take advantage of our position to win. Moving on to India, very strong market for us. We're doing very well both in the process side of the Indian market as well as the infrastructure side of the market. And it's a great leverage point for us, not only for the work in India, but for work around the world as we back office our high-value engineering work in India both in infrastructure and in process. China and Southeast Asia, strong markets for us, growing position in China. We're able to leverage a lot of our customers' investments there, such as the PharmaBio and specialty chemical businesses. And we think that's going to continue to be good. So we see that area as a strong market. Australia, maybe not so much. I'd characterize that market right now as mixed. Mining & Metals is under pressure and continues to be challenged, but there is heavy process activity in oil & gas work and we're doing well there. We had a couple of nice announcements in the quarter. And we're continuing to grow our business and infrastructure with national governments. So some parts of Australia are going to do quite well, the Mining & Minerals part of it, maybe not quite as well. Overall, when you go through all of these geographic markets the conclusion you reach is that the markets, overall, are pretty good geographically and we're doing a good job of taking advantage of those things and be in where the growth opportunities are. I'm now on Slide 14, Growth through Acquisition. As you know, we continue to plan for and attempt to get about 5%, about 1/3 of our growth from acquisitions, plus or minus. There's lots of opportunity out there right now. We continue to focus on China, Australia and South America from a geographic point of view. The markets that we're chasing haven't changed much, Oil & Gas, Mining, Infrastructure and other kind of niche additions to our business. And of course, any time we can add a core client, that's important. It's a particularly active area for us as we look forward over the next couple of quarters. We expect that the due diligence costs maybe at least a factor in our SG&A over the next couple of quarters as there is an awful lot going on. That brings me to Slide 15. We've got a history of very, very good steady and substantial growth, that track continues. Our business model works. It really does drive client loyalty and finds increasing opportunities for us and, hopefully, we could put the results on the bottom line for you to see. Our diversification in terms of markets, geographies and services both fuels our growth and helps minimize our exposures. We're coming into the new quarter here with the highest backlog we've had in the history of the company with the exception of 1 quarter in Q3 of 2008. So the backlog story is a good one. We got a great balance sheet, so these acquisition opportunities that are out there, we can and take advantage of those and do them. And of course, our cost position continues to put us in a great competitive position. So we think the outlook for the company is, in fact, quite good. With that, I will turn it over for questions.
Operator: [Operator Instructions] The first question will come from Jamie Cook of Credit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: Just a couple of questions. First John, not to -- I'll try to ask questions about guidance, you know you won't like it. I'm just trying to figure out why such a wide range given you already have the first half of the year in front of you and it doesn't seem, while the order backlog and margin trajectory looks pretty good, it doesn't seem like the high end would really be on the table. So If you could just comment under what scenario do you think you could get there. And then also just your margin performance in the quarter was quite impressive, just want to get color on how much of that was your ability to get pricing versus mix and how the constraints on craft labor impacting the market.
John W. Prosser: Okay, Jaime, on the backlog -- on the guidance, we didn't change the midpoint. The midpoint is still at $3.25, which is somewhat lower than what you at Street have kind of raised us up to, that's why we believe that the quarter was pretty much in line with our expectations for that kind of a midpoint guidance. And as far as why we didn't narrow the range, I guess, part of it is because we didn't feel like we had to. The other is just kind of continue to send a message that it is a volatile market out there and there's some very good things are happening and there's some very difficult headwinds. Craig mentioned the fact that we are seeing pickup activity in the M&A market and that's going to probably drive up some of our G&As a little bit over the next couple of quarters, which is somewhat of a headwind. But when you put it all together, I'll go back to my old analogy of the bell curve and as you get out to the end of that guidance, the likelihood is pretty small as you get closer to the middle, the likelihood is more -- is stronger. So I guess that the long-winded way of saying that we left it the way it was because we could and we think we haven't changed it for a little while. On the second question, the second comment about margins, I think it was a good margin performance. If you look at it, it really is -- it's in line with kind of where our operating margins have been for the last 3 or 4 quarters. So I think it just shows the consistency. We are continuing to press for pricing improvements and things like that it's a tough market. It's a very competitive market and we do serve some of the largest and most sophisticated buyers in the world. So it's not something that we can do based on our own desires but it's something that's driven by the marketplace that is still very fragmented. It still doesn't have anybody that can give any real market dominance that can drive prices up. We are seeing improvements in pricing, modest improvements, here in North America, particularly, a little bit in South America. But there is still softness in Europe and Australia as far as pricing is concerned, and there is certainly a lot of pressure that our customers continue to put on it. But I think we will continue to see modest stabilities to improve pricing and that will show up in the margins, as in offset what we would expect to see some pressure on margins as we start to see our field services grow a little bit. So I think you're going to see not a lot of opportunities to have our overall margins go up much, but they should be able to be balanced so they won't go down very much as we see the field services grow later this year and in to '14 and '15.
Operator: Our next question will come from Andy Kaplowitz of Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Craig, John, your revenues continue to sort of stay relatively flat. They're up a little bit sequentially here in that $2.8 billion range, but your backlog is up low double digits and field services is up more than that. Has your burn rate actually slowed a bit over the last couple of quarters? I know you've said that you should pick up in the second half of the year and we still expect that but, I guess, maybe you could just talk about the revenue expectation here.
John W. Prosser: Certainly, we have seen sort of improvement in the backlog and that is driving what was modest growth in revenues this quarter. We expect to see that to pick up. It's hard to get exact timings because things sometimes starts slower than what we anticipate and sometimes I think there's a real caution on the part of a lot of our customers to make sure that they have the engineering well in hand and get this phased approach to these projects so that they don't get ahead of themselves, because they are still very focused on controlling cost and making sure that the scope and activity level parameters for the projects are well defined before they launch off into the field. So I think the process has gotten a little bit more deliberate, maybe a little bit more controlled and for the long run, that's a probably a good thing. In the short run, it just means it takes a little bit longer to get things moving.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. That's helpful, John. So, Craig or John, you had very little lumpy, actually, in your backlog, sequential growth over the last several quarters. It seems like, Craig, from your comment, you still have very good visibility that, that should continue to increase but maybe you could talk about that. Is your visibility because of what's going on in North America, a little above average still in terms of backlog growth over the next few quarters?
Craig L. Martin: We certainly see the visibility of projects and prospects is probably as good as it ever is, and that's not bad, it's not great, because customers do tend to keep their cards pretty close to their vest. But as we look forward, there's a lot of work out there, there's a lot of work already under contract in some way. I happened to look at the wins for the Houston office, just one of our offices on the Gulf Coast, over the last 2 quarters and we won some part of 8.5 -- $8 million worth of work from a TIC point of view. Hardly any of that $8 million is in backlog at this stage. Some of it never will be because the customer will procure on the customers' favor but we'll still derive the revenue of the work and the profit that comes from managing it. Some of it will end up in backlog. So yes, there's good visibility about what backlog should do in the broad sense. The visibility about the timing is still tough. Will the customer commit to a project in the third quarter this year or the fourth quarter? Will they decide to do the procurement on their paper and the construction on ours or vice versa? Or will we do both or will we do neither and do it as a construction management project, put procurement on the paper? And all that unfortunately affects what shows up in backlog. And so it's -- notwithstanding we have that good visibility, predicting what backlog will be is not easy.
Andy Kaplowitz - Barclays Capital, Research Division: Got you. John, just a very quick detail question, the 10.6% SG&A as a percent of sales, did that already include some increase in due diligence cost around M&A, did you already see an uptick in 2Q?
John W. Prosser: There's a little bit in there but there always is a little bit -- just as we look at these and engage outside consultants and such, even on early phases of discussions, but we are seeing an uptick in the activity levels. So going forward, we would expect to see a little bit more.
Operator: And our next question will come from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: If I look at last year, annual G&A has also popped up in the second quarter and partly you were coming off of the holiday season, but partly the explanation was really some project push outs and, hence, underutilization and unallocated cost. So as a consequence, as the utilization adjusted in the second half, you basically saw margins jump up 60 points sequentially on very low revenue growth. So how should we be looking at G&A flow through for the rest of the year? Is it going to stay at the fairly notably high levels or should we expect some rejiggering on utilization?
John W. Prosser: Well, if you look at the dollars rather than the percent to begin with, other than this pressure of what we've talked about on the due diligence cost, we would expect to see our G&A stay relatively flat going through the rest of the year. And there's always a step up in the first quarter to the second because of the holidays and vacations and such like that but I think that was pretty much in line with expectations this year. So I think coupling that then to percent, certainly as we see the field service revenue picking up, you don't get the same kind of relationship between field services and G&A as you do between professional services. So the percentage we would expect to see come down a little bit as we drive up the field services part of our revenue and we move away from the 60-40 mix thereabouts that we've been seeing with professional services dominating revenues over the last, actually, couple of years.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: And second question is in regards to really the labor shortages that are likely and projected. And you look into the contracts that are being negotiated right now between yourselves and your sponsors, are you seeing some acceptance and acknowledgment that, perhaps, this labor cost would have to be higher? We've seen as much as 35% into 2015, 2016, or are you seeing more of turn towards cost plus?
Craig L. Martin: I think what we're seeing in terms of labor costs and let's separate those into 2 categories: First, the professional service side; and then the field service side, the craft side. On the professional service side, we're already seeing, as I think I mentioned last quarter, considerable pressure on costs in terms of what we pay the employees because of workloads are starting to get toward that typical capacity level in the industry and I think what we will continue to see is that sort of increases, so if you think about the labor cost side of the engineering services part of the business, you're probably going to see something on the order of 10% to 15% compound growth out into '15 and '16. And probably sometime in the '15 timeframe, this current boom will start to dissipate a little bit and things will come back down a bit or flatten out, I should say. With respect to craft labor, the craft peaks pretty seriously at the end of '14. So I would expect craft to be pretty expensive at that point in time and we expect there'll be more work than there is craft period available. So I think that'll also drive a pretty significant amount of modular construction coming into these challenged areas, like the Gulf Coast. So yes, I don't think that 35% increase in labor cost is, at all, unreasonable for the 2015, 2016 timeframe, not my number, I haven't set it at that way, but it doesn't seem unrealistic. In terms of what that's doing to the margins, we are starting to see the ability to get higher margins on our projects, but remember, higher margin starts with a few basis points at a time and it takes a long time to work its way from backlog into the revenue stream and down to the bottom line. Does that answer your question?
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Yes, Craig. Actually, that was very helpful.
Operator: That our next question will come from Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: In Chemicals, you highlighted complex facility opportunities. I wonder if you could talk about how many greenfield facility contracts you're pursuing and touch on whether you're more optimistic on your prospects on ethylene versus propylene and nitrogen.
Craig L. Martin: Let me ask George Kunberger, who is here with me, he's our head of sales, to comment. We're not in the ethylene part of the business. We're in the derivatives, once the ethylene's made. So that probably changes the picture a little, but I'll give it to George.
George A. Kunberger: Yes. So, certainly, as Craig said, our opportunities really touch all 3 to varying degree. I mean on the ethylene side, we're not in the ISBL, the process part of that business, as you're well aware of, but on a lot of these greenfield opportunities that our various customers are talking about, as you can imagine, there's lots of infrastructure, but also outside of battery limit, lots of the utility work that goes along -- and these are significant parts to those overall investments. And so that's very definitely a part of just the ethane cracker development that we get a chance to play in. On the derivatives side, on the polypropylene side, as you well know, that's a sweet spot for us, both from a process perspective, so that will be an inside battery limit, as well as potential outside battery limit opportunity for us in all of those projects. And relative the nitrogen, I presume you're talking about ammonia, urea, those types of projects that we're starting to hear about, is that correct?
Jerry Revich - Goldman Sachs Group Inc., Research Division: That's right.
George A. Kunberger: So in those areas, those are typically technology driven plays as I'm sure you're aware and not a strength of Jacobs from a technology perspective. However, again, those are large projects with lots of varying components to them, and so our opportunity that play in there, in that space, while not as strong as the first 2 I just talked about, is not a null set either, both from a partnering-ship perspective or playing in the outside battery limits opportunities on those projects. So all 3 of those represent opportunities for us, in one degree or another, although we're not the same to in either one.
Jerry Revich - Goldman Sachs Group Inc., Research Division: You had nice NASA contract awards in the quarter. Can you just talk about the timing and the magnitude of the sales ramp or the backlog burn on those contracts, just give us a sense when you start to see the benefit flow-through.
George A. Kunberger: Sure. Well, as you know, those contracts are typically longer-term contracts, 5 years typically with extended, the opportunity years, beyond that. And so those are, by their very definitions, slower burn although very large program.
Craig L. Martin: Just to amplify on that a little bit, something like Johnson, the total potential award would take 10 years to eat.
John W. Prosser: But not all of that goes in the backlog, number 1 is because, particularly, the Johnson, I think, it was a 3-year contract with -- then a number of 1-year options after that and then -- so, all that goes in the backlog until those options are exercised is the base period.
Craig L. Martin: That was a 5-year base period. And that's pretty typical for those contracts although the exact number of years can vary, obviously. In some cases like the announcement on Michoud, that's a 1-year extension.
Operator: [Operator Instructions] The next question will come from Michael Dudas of Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Middle East activity continues to gain some momentum. Anything new with Aramco or some of the GES contracts and how are some of the margin unit opportunities for you in that region?
Craig L. Martin: GES remains -- GES plus, I should say, to be specific, remains a really good program for us. We're very busy and continue to be very busy. The pipeline of projects under GES plus continues to be a positive as well and then we're doing pretty well either GES plus by virtue of our position. Noel Watson is sitting here with me, who's kind of the senior project guy for everything going on in the Middle East, so I'll ask him to comment.
Noel G. Watson: Yes, Mike. Things are booming in the Middle East, I think is the right way to say it. Not only did Aramco got a huge spend, Aramco did a major diversification as they move into chemicals through Sadara and other joint venture opportunities. We literally have about a half dozen good customers in the Middle East and it just seems like the opportunities are virtually unlimited. That's about all I can say. It's just a nice place to be and a good time.
Craig L. Martin: Our Chairman is deeply involved in what's going on there and we would be -- we'd miss him greatly if he weren't. Did that answer your question, Mike?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Yes. Canadian oil sands, any indication of some delays in final investment decision by clients, with some of the activity in crude price differentials and with Keystone, any sense, I mean it's -- would that be a big help to the investment opportunities coming out that region?
Craig L. Martin: Let me kind of work through the list. Let me start with Keystone. I've talked to 3 or 4 customers in the last 1.5 months about the importance of Keystone to them, all of whom are making significant investments in the oil sands. They all see it as critically important to their plans going forward, not the only answer but an important answer and more of a problem if it doesn't happen than an opportunity if it does. That being said, the major players that we do business with have mixed strategies about how they're going forward. But for the most part, it's steady incremental investment. So, for example, one of our big integrated oil customers, global customers, has basically said, we're going to start about a 40,000 to 45,000-barrel a day SAGD project every time we get to the point where we're ready and that means -- that sounds like it's a decision today, but it's sort of, when we get one far enough along, we'll start the next one and we discussed at some depth the problems with the spread between Canadian crudes and more advantaged crudes; they weren't put off by that at all. Of course as you know, that gap has closed quite a bit here through April, so it's not as nearly as big an issue as they cleared up some of the problems in Cushing. So overall, the customers we're talking to, although each one has its own flavor, are saying, this is a good business, it's a long-term business so we're going to continue to invest. Now, there are a couple of customers who that's their only business and they're clearly taking a hard look at when to invest, but they're in this for the long run.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: And finally Craig, in your prepared remarks you talked about modular construction. Could you refresh us on what capabilities Jacobs has? How much of a ramp is required? Do you need more space or facilities and is there going to be a tightness in that market as some of this craft labor and field work picks up, especially in North America, over the next 3 to 5 years?
Craig L. Martin: Sure. We actually have 5 module shops, all of them in North America, 1 in the U.S. and 4 in Canada. They are big shops and at this point in time, because construction is down, there's not a lot of work in the shops but my expectation is those shops are going to load up very quickly. Our shops vary in terms of the capability from very complex, small sort of scale modules, to very, very large modules, but again, usually, with fairly complex processes in them, we don't really try to compete for the stair towers and the office complex kinds of modules, the accommodation modules, our focus is on chemical and process, chemical being in the chemical engineering sense, process modules that are technically complicated and we can build those both in the Pharma business and in the upstream oil & gas chemicals refining business as well, we're better than anybody. So it's a big potential business for us as we look forward. It's been a cyclical business historically, it will continue to be cyclical. But we're look -- still last night, we're coming up on another strong up-cycle.
Operator: And your next question will come from Andrew Wittmann of Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: I want to just build -- just maybe a little bit color, specifically, in the turnaround season in the oil sands, what are you seeing up there just from the turnaround business right now?
Craig L. Martin: Turnaround season is very active. As we speak, we have a number of turnarounds ongoing. I couldn't tell you how many off the top of my head. I'm looking down the row here to see if somebody can give me a number. Six apparently going on as we speak. Moreover, we think that the fall turnaround season will even be stronger than the spring one. And so we see turnarounds in Canada being a big area of activity for the remainder -- or for this next quarter and later part of the fourth quarter into the first quarter of '14.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: And then just maybe Craig on the federal side of the business, can you just maybe give us a little bit more texture? You kind of mentioned some of the wins that you've had, but looking at bidding new work or competing on task quarters against, other competitors that maybe have approval for specific contracts. Can you just talk about, maybe which agencies are maybe more active for you in terms of their contracting pace, because we've heard that some agencies have dramatically slowed down contracting pace while some others have gone kind of normal business procedures. So if you give us some context about which industries or which government agencies are stronger versus weaker, that would be helpful.
Craig L. Martin: I'll let George Kunberger respond.
George A. Kunberger: So on the federal space, specifically on the technology side, as we talk about the non-buildings part of it, there are 2 major client in that space, NASA and the Department of Defense. And specifically within the Department of Defense, more the Air Force than the others, although, certainly, the Navy and the Army are good customers as well in that space. On the building side, that is more the civilian government side; civilian building side's the non-DoD part of it, let's say. And as you well know, that part of the business has definitely slowed down. There's been a lot of pullback and that's why Craig has made a couple of comments, in both this quarter and last quarter, about our ability to shift our skills and our focus in the buildings business to nonfederal business over in the private sector, which has been a big boom for that business. And why that business has not suffered, as a matter of fact, it's actually growing modestly despite the fact that the traditional customer base has pulled back. That's good enough?
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes, that's helpful. Just one final question. Just wanted to kind of get your view of the cycle in general here. I think investors have been patiently waiting for more that field service, that construction component to come through, we're still 60-40. Any view or change in the view about when that field service work happens? Is it still later this calendar year or do you feel like some of this might get pushed into next year?
Craig L. Martin: I think you'll start to see some of that work drop in to the backlog in a bigger way in this quarter or next quarter. In terms of its impacting revenue, it'll take a quarter or more before that actually starts to impact our revenue numbers. So you're probably looking at backlog being impacted a little bit next quarter and even more in the fourth quarter. And you're looking at revenues being impacted more in the fourth quarter and into '14.
Operator: Our next question will come from Alex Rygiel of FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Two questions. First on new awards. Craig, do you think that your new award activity is fairly strong more from market growth, more market share gains? To go into that a little bit deeper, are you seeing it develop as more new projects or more sort of catch-up maintenance projects?
Craig L. Martin: The boom part of it is clearly new projects, right? But the business where we're getting growth varies significantly by that business. So, for example, in the National Governments space, it's almost entirely share gain. We're just taking work away from the competition. In the Chemicals business, it's a combination of share gain and an expansive market. So you have to go all the way around our little pie chart market by market to give you, which I'm prepared to do if you want, to give you a sense of where it's more share-focused and where there's more robustness in the market itself. Another example lies in Mining & Minerals where the market is not very good but we're going to do well or, at least, we believe we will and that's pure share gain.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Would you characterize in its entirety though, more share gain or more market growth.
Craig L. Martin: Wow. Yes. Our business -- we rarely see the sort of growth in any of our markets that would support 15% growth for us, because it is a highly competitive market. So it's always partly about taking share. Our base business is built around taking share from the competitors, not depending on the market cycles. Now, when we get into the cycles like we saw in the 2006, '07, '08 timeframe, clearly, we and everyone are taking advantage of the bubble in the marketplace to have lots of work. But what we kept and how we've continued to grow since then has been much more a matter of retaining share, growing market share, particularly at the bottom of the cycle, and then hanging on to that share as the cycle gets bigger, so we get a bigger share of the pie overall. Did that answer your question, Alex?
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: That does. That's helpful. And then lastly, you referenced the growing pipeline market. Can you characterize that as activity all related to safety or is it new build and specifically, where around the globe are you seeing the pipeline opportunities develop?
Craig L. Martin: It is both new build and safety. The safety issues are largely U.S. North America focused. So there's a huge amount of business spend there from the utilities, as well as from the sort of transcontinental pipeline companies. But then on the top of that, you have a big expansion of these systems driven at the grand scale by things like Keystone and at a smaller scale by all the unconventional gas, unconventional oil work. And that kind of pipeline capacity, we're seeing not only in North America but we're also seeing drivers for that in places like the Middle East. We actually do quite a bit of pipeline work for Aramco, for example.
Operator: Our next question will come from John Rogers of D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Just I want to follow up a little bit on the revenue growth. You talked a little bit about field services potentially accelerating perhaps in the -- later this year, in the 2014. And I'm just looking at your overall revenue growth still mid-, low-single digits and without acquisitions, and I assume those are coming in, but when do we start to see this acceleration overall? You're saying, really out into 2014 to get you to that 15% growth. I mean presumably, you're going to need 10% organic growth at some point.
Craig L. Martin: Let me remind you, I'm sure you remember this, but I'm going to remind you anyway, we're talking about 15% growth at the bottom line.
John B. Rogers - D.A. Davidson & Co., Research Division: Right. No, but presumably they've got a match and at least you'll be moving in the same direction.
Craig L. Martin: No, they don't. I think that's an important aspect of understanding how the -- how we run our business, particularly on the cost control side. If we can grow our revenues and gross margins in the 10% kind of range, we can easily manage cost to get more than 15% bottom line growth, and that's really why we try to run the business. So 15% sort of top line growth would be extraordinary in terms of driving bottom line growth, assuming we're all equally profitable because of the way we run the business. And, in fact, when you saw those rapid top line growth periods in 2006, '07 and '08, we saw much bigger than 15% compound growth at the bottom line. That being said, to get more to the fundamental question, I think, I think, and of course this is all up to the customers on how they time things, that we should start to see good revenue growth in the fourth quarter of this year and then on out all through '14. And that's kind of based on the way we see the pipeline now and where our projects are in the development cycle, but customers can decide to go back and recycle or front end to change to prospects of the program or the project. So there's still a little bit of unpredictability in that, but I think as we're looking at what we expect our numbers to look like, we're certainly expecting to start to see some significant revenue growth from field services in the fourth quarter. Does that answer your question, John?
John B. Rogers - D.A. Davidson & Co., Research Division: That helps, Craig. And the other question I had is, I mean, you seem a little more excited about acquisition opportunities and is it just there's more of them, the sellers are a little more realistic or are there some really big transactions potentially out there?
Craig L. Martin: Well, I can't be that specific but, or won't be that specific, maybe it's more of the other. Where we're at in the cycle is that these acquisitions are always opportunistic. You got to have a willing seller and a willing buyer. You can't time them, they just happen when they happen and before you really know it, you got a willing buyer and a willing seller, you've got to spend a fair amount of money on due diligence. So I guess, my concern about due diligence costs being a little high as we look forward here, at least in the next couple of quarters, has to do with the fact that, opportunistically speaking, we got more going on in that area than we usually do and that may or may not turn into more in the way of acquisitions. I don't think we can say the outcome yet, but it's certainly a bigger factor in where we're spending money right now than it has been in a couple of previous quarters. And I know it's sort of a non-answer, I apologize for that, but it's really the only one I can give you.
John B. Rogers - D.A. Davidson & Co., Research Division: No, that's fair. But it sounds like certainly you're spending more time out there potentially working on it, so okay.
Operator: And your next question will come from Brian Konigsberg of Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Most of my questions have been answered but I guess just conceptually, when I look back at the last cycle and as far as when Jacobs started to benefit from increased pricing, I think that just given the nature of your business, more operations and maintenance and less large project work, you get more the benefit from utilization rather than renegotiation or winning new projects where pricing is actually higher. Would you say that the mix or the pipeline that you see today, maybe gives you more opportunity to see an immediate benefit from market pricing than, say, the 2005 to 2007 period?
Craig L. Martin: No, I wouldn't say that. I think the market we see today is one where there is some opportunity to reprice some of the alliance work and some of the basic ordering agreements because, clearly, the competition and pricing in the marketplace is going up. We've had our teams working hard to do that where they can and we've made some decent progress there. Generally, those things, though, take a while to show up in the bottom line numbers. Certainly, utilization is always the first part of margin expansion in any of these cycles. I'd have to say that for the most part, that part of it is behind us. We're running at pull-out utilizations and really don't expect to get much more benefit from utilization, much more benefit from overtime or much, much more benefit from facility-related savings as the market turns up. So what we expect to get is better pricing on new work and improvements in pricing, particularly in our long-term arrangements with our clients and both those things will drive some margin expansion. Again remembering that our customers are some of the largest corporations in the world and they're very good at buying. They're way better at buying than we are at selling.
Brian Konigsberg - Vertical Research Partners, LLC: Just secondly on the M&A side, just kind of piggybacking the previous question. So as far as the pricing that you're seeing in the market, are assets attractively priced or are they -- is there a lot of competition at what you're looking for?
Craig L. Martin: It depends on the market. I would say for the most part, acquisitions are attractively priced. As you know, whatever the business of the week or the month happens to be, that's where people all running around spending too much. So, for example, onshore pipeline engineering and construction companies are going for ridiculous multiples. So you can probably bet you won't see much of that in any announcements we make, but lots of other aspects of the business are going at multiples that are really good and really attractive for our shareholders in terms of the leverage we can get out of those things and so there are good deals -- not great deals, there aren't any steals out there, but they are good business-responsible deals for both us and the target that make a lot of sense for them and us and when I say them and us, I mean you, the shareholders.
Brian Konigsberg - Vertical Research Partners, LLC: Anything that really stands out -- or is everything except onshore pipeline?
Craig L. Martin: I'd say, rest of the world is probably actually weaker in terms of multiples than the U.S. is right now. So U.S. investments don't look very attractive. That's probably okay because we got a pretty big business in the U.S. anyway but beyond that, I can't really be much more specific.
Operator: Our next question will come from Will Gabrielski of Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: So you guys are laying out a few headwinds, right, to the margins expanding from year from mix and then maybe having already squeezed all the juice from the utilization fruit and going forward you do say you can get 15% EPS growth without 15% revenue growth, but it sounds like you've already pulled a lot of the levers to get EPS to outgrow revenues. So I'm just wondering besides pricing, is there anything left that you can do internally from a margin standpoint?
Craig L. Martin: We can certainly continue to control costs in the manner we have for many, many years now. And if you do the math and you get, say, 10% growth in gross margins revenues, let's assume they're the same for the moment, they aren't always, but let's assume so. And we can keep G&A growth, 5%, 6%, we can put 15% on the bottom line forever. And so the leverage of that, it gets better -- let me put it this way, it's easier when you're driving utilization. It's harder when you're full out but we got a team year at Jacobs that's really good at finding ways to make the bottom line grow faster than the top line.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Can you dig into sequester a little bit more, and, specifically, I guess, how far along in the process do you think you are in being notified by different agencies about what their furlough plans are? And can you give me a calendar of your expectations on how far along you are and how definitive those plans are or how much potential risk there might be in the back half of the year, should things be a little more negative than you're initially expecting?
Craig L. Martin: I think with respect to '13, we've seen most of it. I'm looking around the table here with the team and they're pretty much nodding their heads, I don't think we'll see much more in '13. It's been a very lumpy. We have customers where we have multiple sites for some customers and some sites that take in 5%, 6%, 10% hit in terms of staffing and other sites are being asked add people. So it's not a uniform sort of thing that you'd say, okay, across-the-board, it's been x or it's been y. But I think with respect to '13, we've already seen virtually everything we're going to see. Now '14 is a bigger question, all right? If you look at the budgets of our '14, the initial proposals, places where we're active like test and evaluation are flat to slightly up for '14. Places where we have repositioned and aren't very active like the buildings business are way down. So as we look at the budgets again, looking at very preliminary budgets, our outlook for '14 is that it will be as good as '13, maybe better. But we're really not expecting as we sit here today, I don't like to say, our government -- I don't know what the President's saying as we're sitting here talking. We're not expecting to see anymore headwind from sequestration in '13 or for '14 based on what we know right now.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: And then if you look at the backlog numbers sequentially, more than 100% of the growth came from public and institutional, and I'm guessing a big component of that was NASA and you guys are very bullish on a lot of your end markets, but going back over the last 3 quarters, where I think we've seen maybe some acceleration in North American energy activity and the other markets, you guys haven't really post big backlog gains, I mean, specifically, Industrial's down from where it was a year ago, and Process is up slightly over the last 3 quarters, 4 quarters. So I'm just wondering, what's holding backlog back in those markets, because if you exclude what I presume are the big dollar component from NASA, it's tough to see the share gains outside of that.
Craig L. Martin: I guess, if you think about things like process, for example, process backlog can be more lumpy because these are big projects and programs that come in and in fact, quarter-over-quarter, Q2 of '12 versus Q2 of '13, backlog and process is up 14%. So I think that backlog growth, while it's not big sequentially quarter-over-quarter, it's certainly big year-over-year and it's a positive as we look going forward. The same is true if you look at quarter-over-quarter in the public sector, obviously, these big wins this quarter were a factor and a significant growth from last quarter to this. And we again have excellent growth, something in just less than 20% range year-over-year, but we're going off the sort of bottom year of our backlog in that business in the relevant period. If you go back 2 years, our backlog growth on a compound basis for the public sector is just a little under 10% compound. So I actually think backlog growth is not all that inconsistent with what we're talking about. If there is a disappointment for me, it's the backlog growth in the industrial sector hasn't been what we would've expected it to be and that has to do with some projects not coming in the backlog at the timing we thought they would, the weakness in the overall Mining & Minerals market and a couple of decisions by customers to procure on their own paper. So if there's a disappointment from us from a backlog growth point of view, it's in that end, Industrial sector. Does that help?
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. It does. And then just quickly on working capital, if you can touch on that. And since you closed on the mining business, Aker's mining business, your DSOs have been materially higher than they were, maybe, during last cycle before you had that business, is there anything you can do to maybe start converting cash a little more quickly from here?
John W. Prosser: It's something we're putting a lot of attention on and it really relates to a number of different things, the growth of our business in the Middle East where this traditional business is a lot lower paying because of the -- just the level of approvals and bureaucracy that they built into some of their cycle. We're seeing some of it from some of our best customers as they just continue to put pressure on their cash flow and so they slow down payment beyond what contractual terms are. In other cases, we're seeing pressure from customers who are on contractual terms, so they want to stretch out payments and these are things we're fighting daily. I mean, when you look at working capital, you look at both -- either asset side and the liability side and one thing as we get more in the construction, we historically have always had better a collection cycle on the construction activities and also because where we're doing procurement of materials and subcontracting, we're more likely than not to get paid when paid. So even as the receivable builds up with, we have a payable that builds up correspondingly. So it's more neutral on funding. As we see the construction activity and the field service activity build up, we would expect to see a significant improvement in our DSOs.
Craig L. Martin: We're not happy with DSO where they are and we're putting a lot of energy into trying to find ways to fix that in the face of this headwind John talked about, about all of our customers wanting to extend terms.
Operator: Our next question will come from Steven Fisher of UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just to follow-up on the acquisition question, does the range of what you're doing due diligence on include deals that as large or possibly larger than the Aker deal, if you can say?
Craig L. Martin: Can't say.
Steven Fisher - UBS Investment Bank, Research Division: I'm sorry I didn't catch that.
Craig L. Martin: Sorry, I just can't say.
Steven Fisher - UBS Investment Bank, Research Division: You just can't say, okay, that's fine. And then Craig, you mentioned you expect bigger field services backlog growth in your fiscal Q3 and Q4. To what extent is this more U.S. refining and chemicals versus Canadian oil sands and then I guess, basically, it sounds like these are discrete, larger projects that just need approvals.
Craig L. Martin: It's more Americas focused but it's across all of the Americas where I expect that to come from, not just from the U.S. Does that -- do you understand what I'm saying?
Steven Fisher - UBS Investment Bank, Research Division: Okay. You think -- yes, I guess, I'm just curious, do you think it's more from -- if we would narrow that down between U.S. and Canada, which do you think is going to have the bigger impact?
Craig L. Martin: That's a tough call. Both are going to be pretty strong. George thinks the U.S. He just gave me the U.S. sign. So you want to comment, George?
George A. Kunberger: Yes, I just think that given the pace of projects that are going to happen and the decision-making process that our clients in both those spaces are going to be making, I mean you said, I mean, Canadian businesses give a more deliberate decision-making process at the present time and the Gulf Coast U.S.-based is more responding to a very hot marketplace. So for one reason, that's the primary reason, I just think that those projects will get approved faster and move faster, because I think the speed of market is going to be a bigger issue there than it is in Canada.
John W. Prosser: But I think another factor is that our U.S. market is just bigger than Canada. When you take the process side of it, by itself, when you look at the process side of the business that is active, part of that comes from Canada, but a much bigger part of it comes from the U.S.
Craig L. Martin: Did that help Steve?
Steven Fisher - UBS Investment Bank, Research Division: That's fair. Okay. Yes, I mean it also just sounds like you have a higher degree of confidence in the U.S. piece of it, generally speaking. Is that right?
George A. Kunberger: That's not what we said.
Steven Fisher - UBS Investment Bank, Research Division: Yes. And I guess you mentioned, Craig, some potential strong adds to your mining backlog, can you just maybe give a little more color on where that might come from and what type of commodities were you thinking about?
Craig L. Martin: I can't be very specific but we do have a number of projects where we're involved and have been for some time now in the FEED and design development phases of projects that we've been told by the customer will be ultimately EPC opportunities for Jacobs and, of course, when they get to that phase, that will have a significant addition to the backlog. Again, you can always -- the customer may well change their mind, either about giving it to us, I don't think that's likely, but it's possible, or about how they contract for it, that isn't as unlikely, and that will affect what goes into the part or what doesn't, but the numbers that come out of that business largely copper, if you talk about the industry, could be significant.
Operator: And our next question will come from Robert Connors of Stifel, Nicolaus.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: Just related to the CapEx. It's really been ramping the past couple of years along with the TPS mix rising. Just wondering if you can give us a flavor of where that money is being spent and what capabilities you guys have been beefing up on?
John W. Prosser: Actually, recently, a fair amount of the CapEx spend has been related to facilities and such like that as we've come to end of leases and either moving into new facilities or renovating, because we've had a real push to go to a more open plan and open architecture for the workforce all the way up to senior management. So it's resulting in I think better efficiencies and certainly, better communications and such within the workforce but as we change buildings and such, we get to spend a little bit of many on the CapEx. So that gets amortized over the life of the lease terms. Also we continue to spend and develop and upgrade our systems, they will continue to put our -- the transition cost of putting acquisitions onto our enterprise-light systems. Virtually everyone is now on common systems as we look around the system both in our financial, our HR and other systems and we are putting on -- continuing to invest in engineering systems and such like that, and there's CapEx related to people. We continue to grow people and when you hire people, you have to buy new computers and add some space and such. And as Greg mentioned, we have come up with the curve so we -- the extra space we had, let's say, at the bottom of the market, 2 years ago, a lot of that has been absorbed and many places we're having to increase space and such like that and that goes along with the headcount growth.
Robert V. Connors - Stifel, Nicolaus & Co., Inc., Research Division: And then just related to some of the opportunities, do you guys play in the on-purpose propylene and butadiene, butylene plays or is that mostly technology driven? And sort of in a separate note, just on the old Methanex booking, was that just for Phase 1 or was Phase 2 included in that?
Craig L. Martin: George?
George A. Kunberger: I see. So the first part of your question, that's more open art [ph] in its nature and we obviously have and we have -- traditionally, we have a lot of capability in the open art [ph] process development of the polypropylene-butadiene process. As a respect for the second question, I'm not sure we can answer that question directly.
Operator: Our next question will come from John Allison of BB&T Capital Markets.
John A. Allison - BB&T Corporation: You mentioned that you're pushing price in several markets. I want to know what areas and end markets that you've seen some success with this?
Craig L. Martin: Pretty much across the heavy process markets globally. So chemicals, refining, upstream oil & gas, we're being successful in getting margin improvements from our customers. Not so much anywhere in the national government, public and institutional area, that's more still a lot pricing pressure there because of what's going on in the industry. And then in the industrial arena, it's kind of the mix bag, not much pricing opportunity in the Mining & Minerals business, if anything, there's still a little downward pressure there. Probably a little opportunity to move up in the Pharma side of it and not much otherwise. Commodity markets like food and consumer products, not doing that well.
John A. Allison - BB&T Corporation: And lastly in chemicals, we've been hearing the argument that the DOE's decision for non-FTA LNG exports might be causing some chemical projects to be delayed until after a decision's made and if the DOE moves forward for more open-ended exports, some of these chemical projects may not go forward due to likely higher nat gas prices. I want know if that was consistent with what you're hearing and just kind of what's your expectations are here with this?
Craig L. Martin: I wouldn't argue that it's consistent with what we're hearing. Wouldn't argue, necessarily, that they're inconsistent either. Some of our customers are very outspoken about keep all the gas in the U.S. so we can invest in the U.S. and take a very prominent positions that way. I am quite sure that some of the customers who are of that mind are the ones who would be threatening investments as a positioning strategy, but for most part even the customers that I know to be pretty outspoken about no LNG also have major plans for capital investment and are spending significant money to get ready to make that investment as we speak. I think the economics of the LNG export from the U.S. aren't as good as people think they might be and the impacts of that on feedstock costs are not as significant perhaps, as people are being led to believe.
Operator: And ladies and gentlemen that will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Craig Martin for any closing remarks.
Craig L. Martin: I just want to thank you all for dialing in and listening to our story. We feel pretty good about where we are and where we're going and have, I think, a very positive outlook as we look to the future sitting here today. I hope you see it the same way. Thank you, all.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect.